Operator: Good day and welcome to the Sempra Energy third quarter 2009 earnings results conference call. Today’s conference is being recorded. At this time I’d like to turn the conference over to Mr. Jeff Martin; please go ahead, sir.
Jeff Martin: Good morning. I want to thank each of you for joining us. I trust many of you’re probably catching up in the office after returning from EEI, so we appreciate, you take the time for our call. This morning, we’ll be discussing Sempra Energy’s third quarter 2009 financial results. A live Webcast of this teleconference and slide presentation is available on our website under the investor section. With us today in San Diego are several members of our management team including Don Felsinger, Chairman and Chief Executive Officer; Neal Schmale, President and Chief Operating Officer; Mark Snell, Executive Vice President and Chief Financial Officer; Debbie Reed, President and CEO of our utilities; and Joe Householder, Senior Vice President and Controller. You’ll note that slide two contains our Safe Harbor statement, please remember that this call contains forward-looking statements that are not historical fact and constitute forward-looking statements within the meaning of the Private Securities Litigation Reform Act of 1995. Forward-looking statements are not guarantees of performance. As you know, they involve risk, uncertainties and assumptions so, future results may differ materially from those expressed in our call. These risks, uncertainties and assumptions are described at the bottom of today’s press release and are further discussed in the company’s reports filed with the Securities and Exchange Commission. It’s important to also note that all of the earnings per share amounts in our presentation today are shown on a diluted basis. Like the format of our prior calls, we’ll first take you through our financial results, followed by an operating update and then conclude with any questions you might have. With that I’d like to now turn it over to Don who will begin with slide three.
Don Felsinger: Thanks, Jeff and again, thank you all for joining us. Before I discuss the quarter, I want to briefly update you on recent developments with the Royal Bank in Scotland. As many of you are aware, RBS has announced a second restructuring plan that includes the sale of their ownership stake in our commodities joint venture. There are several points worth noting, first I want you all of just remember of this is a core business of Sempra. It operates in markets that we know and understand. It’s highly profitable and more importantly, we’re committed to being in this business for the long term. Second, as RBS goes about divesting its share, they are committed to providing all required capital and credit support and third the process will be orderly and significantly influenced by our participation. Our existing agreement doesn’t allow for a sale prior to April of 2012. A quicker sale, which could be advantageous, would require new mutual consent. As a final point I’m certain we’ll manage through this transition away that not only preserves, but creates value for our shareholders and does so in away that gives confidence to both our employees and customers and based on our conversations with RBS’s management, I can tell you that our interests are aligned in that regard. Now on to the financial results. Earlier this morning, we reported third quarter earnings of $317 million or $1.27 per share, an increase from $308 million or $1.24 per share in the same period last year. It’s important to note that results for the third quarter of last year included a $40 million retroactive benefit from the resolution of General Rate Cases at our California utilities. For the first nine months of 2009, earnings increased to $831 million or $3.37 per share, up from $794 million or $3.13 per share. You’ll recall that in the second quarter of this year, we recorded a $64 million or $0.26 per share write-off related to the Liberty Gas Storage project. Earnings per share for the first nine months of 2009 without the impact of the onetime write-off of liberty, improved 16% over last year. Now, the reason I want to make this point is because it highlights the strength of our underlying businesses. These strong results keep us on track to meet our 2009 financial goals. Now, let me hand it over to Mark so, he can take you through some of the details of the financial results, beginning with slide four.
Mark Snell: Thanks, Don. Well at San Diego Gas and Electric, earnings for the third quarter were $108 million, compared with earnings of $123 million in the year ago quarter. Third quarter 2009 results include a $9 million benefit from the resolution of regulatory matters. Third quarter 2008 results include a $33 million retroactive benefit from the resolution of the general rate case and a $12 million benefit from the resolution of tax issues, which were partially offset by $17 million of litigation expense. At Southern California Gas, third quarter 2009 earnings were $74 million that compares with $77 million in the third quarter of 2008. The current quarter’s earnings benefited from strong operating performance. The quarter-over-quarter comparison was due to benefits recorded in the third quarter of 2008, which included a $7 million retroactive benefit from the resolution of the general rate case and a $7 million benefit from the resolution of some regulatory matters. Now, let’s go to slide five. Sempra Commodities earnings in the third quarter of 2009 were $75 million, a significant improvement over last year’s results. Performance in the quarter was led by the natural gas and metals businesses. Many of you will recall that last year’s third quarter was negligence toughly impacted by losses in power marketing driven by the steep decline in commodity prices during the quarter. For the first nine months of the year, commodities earnings have increased to $274 million, up from $181 million in the first nine months of 2008, an increase of more than 50%. It’s also important to note that the first nine months of 2008 included $37 million in net benefits from onetime items related to the formation of the joint venture with RBS in the second quarter, as well as Sempra Energy’s 100% ownership of the commodities business in the first quarter. Now let’s move to slide six. Here we show how income is allocated at the joint venture for the quarter and the first nine months of the year. A couple of highlights; first, the joint venture had income of $83 million during the quarter, after applying the income allocation methodology the distributable to Sempra were $60 million. After adjusting for U.S. GAAP and for the impact of taxes, Sempra’s joint venture equity earnings for the quarter were $75 million, up from a loss of $3 million in the same quarter in 2008. For the first nine months of 2009, the joint venture had income of $379 million and Sempra’s equity earnings were $278 million. Now let’s move to slide seven. Third quarter earnings for our generation business were $43 million, compared with $94 million in the same quarter in 2008. Third quarter 2009 results reflect $12 million of lower earnings from operations due to less favorable market pricing compared to the same quarter last year. In addition, the third quarter of 2008 included a $28 million mark-to-market gain on forward contracts and $8 million in tax benefits from the El Dorado Solar project. Please move to slide eight. Sempra Pipelines & Storage recorded earnings of $54 million in the third quarter of 2009, up from earnings of $34 million in the same quarter last year. Third quarter 2009 results benefited $15 million from the favorable resolution of tax issues, as well as $6 million of increased earnings from Rockies Express. For the first nine months of 2009, earnings were $64 million. The decrease as compared to the prior year’s results is due the $64 million write-off related to the Liberty Gas Storage project that was recorded last quarter. Now please turn to slide nine. Now, this slide provides a summary of our business unit results. I’d like to highlight a couple of things here. Sempra LNG broke even in the third quarter of 2009, compared with earnings of $4 million in the prior year’s quarter, which included $13 million in mark-to-market earnings. The third quarter of 2009 included, $5 million higher earnings from the start up of terminal and marketing operations as well as higher income tax benefits. At Parent & Other, we recorded a loss of $37 million in the third quarter that compares with a loss of $16 million in the same quarter in 2008. The increase in loss was due to the combination of higher interest expense and higher income taxes. Please turn to slide 10. Overall, our results for the quarter and the first nine months of the year were excellent. Excluding the Liberty Storage write-off last quarter, earnings per share were up 16% over the first nine months of 2008. Year-to-date, 2009 operating cash flow more than doubled over the prior year period. A notable contributor was over $400 million in cash we received this year from RBS Sempra Commodities. We ended the third quarter with roughly $800 million in cash on our balance sheet and $3.1 billion available under our credit lines. From a credit perspective, there are a couple things I’d also like to highlight. Last month, Sempra Energy issued $750 million of 30 year debt at a 6% coupon and S&P affirmed Sempra Energy’s credit rating of BBB plus and raised our outlook to stable. With that, I’d like to turn it back over to Don who’ll begin with slide 11.
Don Felsinger: Thanks Mark. Now let me update you on some of our business activities, starting with our utility projects. Our largest project, the Sunrise Powerlink transmission line, is scheduled to be in service in the second half of 2012. We’re awaiting the final approval from the U.S. Forest Service, which we expect in the first quarter of next year. Turning to our Smart Meter programs at SoCalGas, we’re seeking approval from the CPUC to install 6 million gas meters in phases from 2012 to year end 2017. We hope to have a final CPUC decision early next year. At SDG&E we’re well underway with the installation of Smart Meters and have now installed almost 150,000 meters. We expect to have over 200,000 meters installed by year end and to complete all 2.5 million installations by year end 2011. I’d also like to point out one of our new projects we’ve recently announced, the ECO Substation, a renewable energy hub in East San Diego County. This project will greatly expand SDG&E’s capability to both receive clean, renewable energy from areas east of our service territory, and deliver that power to customers here in San Diego. In August, we filed an application with the CPUC for this $270 million project. We hope to receive Commission approval in the first half of 2010, which would enable SDG&E to begin construction next year with a view toward placing the substation in service in the first half of 2012. This project is incremental to the capital program that we presented in March of this year and is another good example of the growing role that renewables and related infrastructure will play in our future capital spending program. Now, if you would go to slide 12. We recently made two key filings with the CPUC and I’d like to briefly detail them. First, we filed a petition with the Commission to request a one year extension in the filing of our rate cases for SDG&E and SoCalGas. This was a joint request in conjunction with the division of Ratepayer Advocate’s and would require a full commission vote to approve. If approved, the decision what essentially extend the current framework by one year to 2013, with an attrition year revenue increase in 2012 consistent with prior years. The second filing I’d like to mention is related to SDG&E’s cost of capital. We asked the CPUC to defer the next cost of capital proceedings by two years. Our current cost of capital was established last year as a part of a joint proceeding with PG&E and Southern California Edison and all three utilities were originally scheduled to file a cost of capital application with the Commission in 2010. If our request is approved, we would file the next application in 2012, which would be effective in 2013 and this would be on the same schedule recently approved for PG&E and Southern California Edison. Now, please go to slide 13. In September, Sempra Generation acquired a 50% interest in the Fowler Ridge II Wind Farm located in Indiana. We’re equal partners with BP in this 200 megawatt project which is now under construction. We expect to complete construction and bring the project into service by year end. Consistent with Sempra’s contracting strategy, the power generated by this project is fully contracted for 20 years. This project has attractive economics and also enables us to increase our hands on experience with wind projects as we evaluate similar opportunities here in our core geographic area of focus, the Southwest. Now let’s move to slide 14. As many of you know, we benefit from controlling a large amount of land around two of our existing natural gas plants, which are located in desert areas and are ideal locations for Solar Generation and with ready access to major Electric Transmission Corridors, Sempra Generation is well situated to become a leading owner and operator of Solar Generation in the Southwest. The 10 megawatt El Dorado Solar project which is adjacent to our El Dorado combined cycle gas plant in Nevada is currently in service and selling its power under a 20 year contract to PG&E. We plan to expand the capacity at this location by 48 megawatts in a project we call Copper Mountain Solar. We’ve secured agreements for both the construction of the plant and the sale of the power under a long term contract. The power sales agreement also with PG&E is now before the CPUC for approval. We expect to receive this approval before year end and plan for the project to be brought online in phases through early 2011. A much larger opportunity exists near our street natural gas fired plant outside of Phoenix where we owned roughly 4,000 acres. We expect that our land position there could support up to 500 megawatts of solar. Before we move to the next slide, I want to update you on the litigation related to Sempra Generation’s contract with the California department of water resources. On October 26, a Jury Trial began here in San Diego Superior Court involving the 10 year power contract, Sempra Generation signed in 2001 with the California department of water resources or CDWR. The litigation involves power deliveries and the decision not to build a temporary peaker facility at the electrical power plant. Essentially this CDWR is seeking damages or rescission of the contract. We believe that we have abided by all of our contractual obligations. We do not believe these claims have any merit, and therefore, have not taken any reserves for this case. Now let’s go to slide 15. I’d like to remind you of the new sources of revenue at our pipelines and storage and LNG businesses. At Pipelines and Storage the Rockies Express Pipeline is nearing completion of the full 1.8 billion cubic feet per day of capacity for Clarington, Ohio and we continue to make progress with our gas storage developments in the Gulf Coast. With the goal of bringing an incremental 12.5 billion cubic feet of capacity online at Bay Gas and Mississippi Hub in the second half of next year. At our LNG businesses, we’re now receiving revenue from all of our major long term contracts. In the third quarter, we began receiving revenue for the full contract quantities of the BP wind contract at our Costa Azul terminal, as well as from the contract with ENI for capacity at the Cameron terminal. With these new contracted revenue streams, LNG will start to show a continuing profit beginning next quarter. Now please go to the final slide. I’d like to conclude by saying that I’m pleased with our results in the third quarter and even more so for the first nine months of the year. If you step back from the day’s results, one of the key takeaways is our business is continuing to grow with a fair degree of certainty. Our utilities are expecting capital spending to increase by over 50% next year and that’s all within a regulatory compact where we earn solid returns without exposure to commodity sales. Our large four year construction program and our natural gas business is nearing completion and that means a full year’s benefit in 2010 from new cash flows from long term contracts and what you’ll see us do for the remainder of this year is focus on areas where we can continue to improve the certainty of that growth story. We’ll do that by increasing the certainty of our cost of capital, extending our general rate case at the utilities through year end 2012 and completing projects at our infrastructure businesses that will capture new contracted sources of revenue. With that, let me stop and take any questions that you might have.
Operator: (Operator Instructions) Your first question comes from Lasan Johong - RBC Capital Markets.
Lasan Johong - RBC Capital Markets: Just on the RBS transaction, do you anticipate any changes in your future growth rate because of RBS having to eventually pull out or in other words are we confident that RBS will continue to support this joint venture while it owns it?
Don Felsinger: Lasan, there’s a lot to be learned here. This business is well positioned to grow under the right circumstances and with the right partners. So I think that in the next several months I can give you a better answer to that, but this business, the reason we have the platform we have with RBS was to take it places that are global and I think as RBS looks to replace themselves with a new partner, that will be one of the key considerations we’ll look at.
Lasan Johong - RBC Capital Markets: Then is there an opportunity or do you know of other firms who could deliver the same kind of international and global growth that RBS promised or had looked to be able to deliver?
Don Felsinger: You bet. One of the things that are interesting is that this deal just got announced or the statements by RBS that they’re divesting and a number of calls, the amount of interest we’ve seen in this are really amazing. I think it goes to the fact that people just recognize what a valuable franchise we have, everybody wants to be a part of it.
Lasan Johong - RBC Capital Markets: Then Don, I know it’s not possible now, but in four years’ time if there’s not a suitable partner, would Sempra consider stepping in and taking it back?
Don Felsinger: Lasan, I think everything is on the table. It’s very early. I think the only thing that I can say with certainly is that Sempra’s going to be a part of this business whether it’s alone or with a partner.
Lasan Johong - RBC Capital Markets: Could you talk about your guidance, it seems, but it’s kind of conservative at this point. Four quarter should be shaping up better than kind of the $0.98 or a buck 23. Any thoughts on when or how much you might increase your guidance?
Don Felsinger: I think we’re satisfied with where we are for the year. I mean, the thing that I think is interesting, when I look at our guidance is, remember we put this guidance together for 2009 over a year and a half ago and during that time period, a lot of things have happened, we ended up getting the RBS deal done. We had a global meltdown. Credit markets shutdown. The economy went in the tank. We had gas prices that dropped to some very low levels. We had a big write-down with Liberty Gas Storage and with all that going on. We’re still keeping our same guidance for the year. So I think it says a lot about the strength of our businesses that we have and we’re comfortable with the range we provided, the 435 to 460 for this year.
Lasan Johong - RBC Capital Markets: One last question, the ECO Substation, you said it was not in part of your original budget plans. How much more of this kind of upside CapEx spending can we foresee over the next couple of years?
Don Felsinger: That’s the interesting thing about this business, is not only do the you utilities have more opportunity because of the 33% goal that’s being put forward by the state, but the opportunities we have in our non-utility businesses. When I look at the five year plan we shared with you back in March, there’s probably another $1.5 billion of projects that aren’t in that forecast that we’re currently working on, so I would say that the opportunities for us are quite bountiful right now.
Operator: Your next question comes from Leon Dubov - Catapult Capital.
Leon Dubov - Catapult Capital: I just wanted to double check. I guess you said that, at least one of the options on the table would be for you guys to take back or at least part of commodities and I’m wondering if you can comment on what that would mean in terms of capital commitment. Is there some part of this business that you’re more likely to take back and what the capital associated with that would be.
Don Felsinger: Leon, I would say that’s probably too early in the process right now to answer that with the amount of interest that we have seen so far, my expectation is, we’ll find a good partner that will want to step in and take RBS’s position and somebody that we’re happy with. I do think that the thing that’s key here is that, people have been asking me, do we have a desire to stay in this business? The answer is absolutely, yes. This is a business that we’ve been in now going on 12 years. We grew it to this point. It’s a business we understand. It’s a business that we know what makes it work. It’s a business that’s got great employees and a great franchise, so you will see and whatever outcome we have here, Sempra ‘s name attached to this business.
Leon Dubov - Catapult Capital: Can you comment at all on who this interest it spending from it other banks or other types of players?
Neal Schmale: I’ll let Mark talk to this, but we have seen people from all spectrums of the business community.
Mark Snell: Yes, look, I think that’s the exciting thing that’s happened, maybe surprises us a little bit. We figured that there would be some financial players that would be interested and there certainly are. Some of the, obviously, some of the bigger banks, both domestic and international that have not received or have paid back all of their government assistance, they are interested. I don’t know if you saw the JP Morgan Article that was out a couple days ago with some statements by Jamie Dimon and their commodity folks about their interest in the physical commodity business, I think that is indicative of all the financial institutions are looking at this is a real area of interest for them and an area of potential growth, but I think the thing that was kind of more interesting to us was in the number of industrial companies traditional kind of commodity oriented companies that are looking at this that include other financial institutions. Other types of things, big funds, big sovereign wealth funds and some of the industrial players with large commodity presences in the oil companies and those kinds of things that are looking at it, so at the end of the day, I think there is a lot of interest. It’s all pretty positive. I think all of it bodes well for the future growth of the business, no matter who the partner is and I think we’re probably more excited about this business than ever. So I think from that perspective, we have a great franchise, it’s highly valuable, it’s highly profitable. We’re in it and we’re going to stay in it and we’ll come up with a new partner or new configuration that makes sense for us.
operator: Your next question comes from Leslie Rich - Columbia Management.
Leslie Rich - Columbia Management: Well, there was work load issue with the Commission and they found themselves ending up with two GRCs in the same year and when we had a conversation with the division of Ratepayer Advocates and one of the options for them was to extend us for a year. It gave us certainty, and I think that’s one of the things I’ll let Debbie continue this answer here, but it’s one of the things we like about our businesses is, certainty and the fact that we have another year now of knowing what the attrition increase is going to be, plays well into the way we run the business. Any other attributes, Debbie, you want to add to that?
Debbie Reed: Let me just comment, Leslie, that when we filed our original rate case we had asked for a five year period of time for the reasons that Don is speaking of. When we know what revenue requirements we get against it gives us the opportunity to manage our costs very efficiently during the period of time, to hedge costs as part of our business. So the longer period of timeworks well for us. I would also say, you have to remember that for us, our base business capital is in our general rate case, but for projects like the ECO Substation. We go in and request incremental capital for that type of growth and so this is really managing our base business and when we have the certainty of an incremental $100 million of revenue requirement, which we settled for with DRA, that that gives us the opportunity to start now planning on how we’re going to manage the business.
Leslie Rich - Columbia Management: On the Mesquite Solar, tell me again what’s the status on that, that’s a project that you’re currently looking for PPAs?
Don Felsinger: That’s correct.
Leslie Rich - Columbia Management: You could go up to 500 megawatts?
Don Felsinger: Yes, it depends on the technology. If we went to the less efficient thin film panels that we put in at El Dorado, we probably could develop it out to about 350 or so megawatts. Going to more efficient panels, go up to 500 megawatts. We have found that in this current competitive environment that the cost of the solar has dropped off significantly and we are having discussions with a number of parties for off-take agreements from the project.
Operator: Your next question comes from Adam Wiseman - Luminous.
Adam Wiseman - Luminous: Two questioning here; first, when is the CPUC scheduled to rule on the cost of capital request, have you guys seen any opposition from turn or DRA?
Don Felsinger: Let me have Debbie respond to that, Adam.
Debbie Reed: Our cost of capital delay requesting a two year. The CPUC did rule in Edison and PG&E’s case and this is a settlement that we filed in support DRA, the division of Ratepayer Advocates, is in support of our cost of capital delay. To be on the same schedule as that of the other two utilities that’s already been approved by the CPUC. We just made the filing and so it will probably be in the first quarter of next year that we would expect a decision from the full commission on this.
Adam Wiseman - Luminous: Then you’d also just mentioned a moment ago with the solar project, a decision between the less efficient thin film and the other technology. Where do you guys stand on that today?
Don Felsinger: We’re kind of technology agnostic. We look at prices we can get from venders and the attributes of whatever it is we’re installing and go with the option that provides the best returns.
Operator: Your next question comes from Paul Patterson - Glenrock Associates.
Paul Patterson - Glenrock Associates: Just wanted to follow back on the RBS deal, I mean I’ve got to assume that it would be in the best interest of everyone to sort of under normal circumstances to have the deal go as quickly as possible as opposed to it taking more than a year or so to sort of get a picture on this, just because of the human factor. Am I right about that or I mean, how much time should we think about a potential deal probably taking?
Don Felsinger: I think you’re correct in that assessment. Even though the contract that we have with RBS puts a timeframe of April 2012 before either party can transact. We want to do what’s right for the business, what’s right for the employees and what’s right for the customers and probably looking at the level of interest that we’re getting in the marketplace that you could expect that this would transact sooner versus later.
Paul Patterson - Glenrock Associates: Then I guess what I’m also sort of wondering is in that context, we’re also in a very different market. You guys struck a very good and a very timely deal when you did. I guess, what I’m wondering is that what’s the potential of the deal perhaps being restructured in order to get something done or I guess how anxious is RBS to sort of exit this business because there’s always the potential that maybe they won’t exactly see what they got when they bought into it, what I mean?
Don Felsinger: I think that RBS would say that this has been a good transaction for them and I think as parties come along and look at the value of this franchise, we’ll have to make a decision on whether or not they want to step into RBS issues exactly or negotiate some other arrangement, but remember, we will have a seat at the table during these negotiations.
Paul Patterson - Glenrock Associates: So we should probably not expect a material you guys do not foresee a material change in the outlook of the economics associated with the JV right now from any potential transaction going forward or, is that how am I reading sort of the body language correct in that?
Don Felsinger: I don’t want to speculate but if we were to be asked to take a different deal, I would expect to be compensated for that in the transaction.
Operator: Your next question comes from Michael Lapides - Goldman Sachs.
Michael Lapides - Goldman Sachs: When you look at the natural gas infrastructure side of the business, so especially pipelines. Given kind of the volatility we’ve seen in gas prices over the last 12 to 18 months, what are you guys seeing in terms of kind of the best possible growth initiatives or growth alternatives for that piece versus what you saw 18, 24 months ago?
Don Felsinger: Well, I mean, we still have with the amount of gas that’s been identified in North America a need for new and different types of infrastructure to move this gas to market and so we are still bullish on certain types of pipelines, but probably even more bullish around the need for storage and that’s one of the reasons that we have $1 billion storage program in our capital budget.
Michael Lapides - Goldman Sachs: What about the flows of LNG to the U.S. over the next year, year and a half, as you start thinking out to whether significant amounts or insignificant amounts of LNG will actually flow here?
Mark Snell: Michael, I think the key thing that’s going to determine that outcome is what is going to be the eventual cost of Shale gas production and there’s a big debate going on right now and whether that’s $6 or $8. I think as that plays out there’s no doubt in my mind that LNG can compete with either price scenario and be ready to bring incremental supply into the U.S. at either one of those prices. So I think that we feel pretty good about where we’re positioned, where our terminals are and the fact that LNG is going to compete in this marketplace and the fact that the other facilities that we are building out, I’m talking about storage here, are going to be well used because of the concern around volatility of prices and the fact that the bigger projects we have, the pipelines that we’ve got them contracted for 10 years or more puts us in a fairly nice position.
Michael Lapides - Goldman Sachs: Just balance sheet, if you’ve got a lot of cash on the balance sheet. If you’ve got what I would call a healthier balance sheet compared to your peers. Just curious for your thoughts over the next year or so in terms of how you plan on utilizing the balance sheet and whether there are potential returns of capital or even further debt reduction opportunities if other new growth initiatives don’t emerge.
Don Felsinger: I’ll prefaces before I turn it over to Mark to say we’re entering some interesting times right now as we look at the ultimate outcome of RBS and our commodities business so we’re going to be very conservative with what we do with our balance sheet.
Mark Snell: Well, just to add to that, I would say that our while we are in a good position, just bear in mind that we do have a robust capital program ahead of us of a lot of internal projects that we think have excellent return characteristics and we want to pursue those and over the next five years we’ve got almost $12 billion of capital in our plan already and we’re finding, we’re uncovering new projects all the time and adding to that. So I think we have sufficient uses for our capital going forward and I think we feel very comfortable where we are.
Operator: Your next question comes from Charles Sharett - Credit Suisse.
Charles Sharett - Credit Suisse: I wanted to be clear that is it your preference to take the commodity business or excuse me to have someone step into RBS’s shoes for the commodity business or is there a scenario where you look at different economics for a deal and decide you want to take the entire thing back?
Don Felsinger: Well, I think the objective that RBS has is to have somebody come in, step into their position and so what we will be concerned about in that scenario is who the partner is and do we have the same level of interest aligned toward growth of the business and what geographic regions. So yes, I do think that probably more probable than not is that there would be ask somebody that would want to come in and takeover RBS’s position.
Charles Sharett - Credit Suisse: Do you have right of first refusal if RBS chooses someone that you don’t think would be a good partner?
Don Felsinger: We have the right of first offer, which means we can make them an offer. Let me ask Neal Snell to follow up.
Neal Schmale: I think one important note is, that we do have contractual obligations on the behalf of RBS not to sell the business for four years and so, any kind of quicker sale we’ll require a mutual consent, so I think that gives us a pretty strong hand at the table, just to make sure that this is a partner that meets the requirements that RBS bstansively, met when we did this deal and so I think, now where we are is we can pick. We can pick a partner that makes sense, or there may be some other kind of financial combination of support from other entities that allows us to do more with this business than we’ve done in the past and we’re going to look at all of those options and I think they’re all available to us.
Don Felsinger: And I would just follow on and say that RBS has been a very good partner. They have followed through on all their commitments. We understand the pressures they are under in the EU and the U.K. and we’re going to work with them everyway we can to have them meet their objectives of exiting this business in an orderly way.
Charles Sharett - Credit Suisse: Are the parties that you’re talking to, are they interested in using their balance sheet the same way that RBS is, to support the business?
Don Felsinger: I think it’s too early to get into that right now.
Charles Sharett - Credit Suisse: One last question on the favorite topic for the call today, what businesses would you take back? Have you looked at it in that sort of context in terms of what you can support with your balance sheet?
Don Felsinger: We’re going through that process right now. We like all these businesses because we’re the ones that aggregate them together and it’s like, which of your kids would you get rid of, right? We’re not there yet.
Operator: Your next question comes from Faisel Khan - Citi.
Faisel Khan - Citi: Hi. Can you guys comment a little bit more on the strength and profitability at SoCalGas and what drove that this quarter?
Don Felsinger: This is one of the best natural gas distribution businesses in the country, and it kind of lays there, kind of all by itself, great franchise. Debbie, why don’t you talk about the quarter?
Debbie Reed: The quarter was really a good quarter for us, but it is based on the foundation that we have in this strong business and we do see some future growth in this business as well. As you know, with the Smart Meters that we have filed and then we have some other projects that we’re looking at in terms of biofuels and all, but for the specific quarter it’s really managing our cost against our rate case was the largest contributor to what we saw this quarter, after you take out the effect from the retro rate case adjustment of $7 million last year. We’ve also seen some decline in some of our bad debt expenses and that was the positive impact for the quarter, but I think the key thing is as then I say that, when I talked about the benefits of extending the general rate case. If we know how much money we have to operate in, within, then we can really manage these businesses quite well and ensure that our cost structure is within the authorized amounts that we have in our rate case.
Faisel Khan - Citi: Can you guys talk a little about the LNG business in terms of the actual volumes that you guys have received so far, or what type of volumes you expect from for example the gas contract?
Don Felsinger: Let me have Neil talk about this. I think the thing we want to focus on is the fact that the business is not so much driven around volumes, but around contracts.
Neal Schmale: First of all, in the third quarter, we did not have any volumes come in under the gas contract. I think over the course of that contract, we fully expect to have volumes delivered into Cameron, but in terms of discussing the terms of potentially near term potential, obviously for contractual reasons and confidentiality reasons, we can’t talk about exactly what’s going on at any particular time and I’d also underline the point that Don made, is that these businesses are largely dependent and well-served by the long term contracts that we entered into. I suppose finally, the third point I’d make, which is kind of a follow-on to an earlier discussion about what’s going to happen in the natural gas markets going forward. I would say we all need to remember that one thing we kind of know for certain and that is that the natural gas market is now a global market and heretofore it had really been a North American market and so the position that we have in this market, I think it’s a very strong one.
Operator: Your next question comes from John Alley - Decade Capital.
John Alley - Decade Capital: Two questions; one on transmission and one on trading, what if any hurdles are left on the Sunrise Powerlink side on the regulatory front?
Don Felsinger: I’ll have Debbie expound on this, but really we’re waiting for one permit and that’s from the U.S. Forest Service.
Debbie Reed: Yes, John. We had three major permits that we needed to get and we’ve gotten two out of those three significant permits. We’ve also been working with the Forest Service to meet all of their data requests and provide them all the information to have a decision by the first quarter of next year from the Forest Service for the remaining approval that we need. So we’re going ahead with our preconstruction activities and getting ready to start construction in June of 2010, to be in service in 2012.
John Alley - Decade Capital: So the final path is aligned?
Debbie Reed: It has been. Yes, it just as permit, this is a $1.9 billion project and we’ve roughly spent 10% of that in preparation for getting this permit. So we’re fairly confident that it’s going to happen in the next four or five months.
John Alley - Decade Capital: On the trading side of the business, have you looked at to what extent your balance sheet can handle, I guess the incremental capital from taking back parts of those businesses or a part of that business?
Don Felsinger: Let me ask Mark to address this.
Mark Snell: Look, I think the reality is that to the extent that we go down that route and it is not clear at all that we would do that or need to do that, but if we did. I think what we would make certain is that whatever businesses we brought onto the balance sheet or do, just like anything else we do. We make sure that we can fund it in the long term. We make sure that we can fund it in low commodity price markets and high commodity price markets and we’re not going to do anything that would actually create a situation, where we could have a problem down the road. So we’d make sure we had adequate capital and adequate liquidity to do anything that we were going to do, but we’re looking at all the options. I mean, the world’s different than it what when we did this transaction. It changes all the time. There are several options out there and we’re exploring them all.
John Alley - Decade Capital: It seems like you guys have a lot more interest this round than you did, when you sold it initially and the markets are as you said vastly different now. Why do you think that is?
Mark Snell: I don’t know that we have a lot more interest this time around in the sense, but I think the last time we were looking for a specific type of transaction, we found a good partner to do that with. They were well poised to grow the business globally, they had a lot of financial problems and a lot of issues that are obviously we didn’t foresee, I don’t noted that, I don’t believe. I also believe that this time around the physical commodity business looks a lot more attractive to financial and other financial institutions and other types of companies than it did before. I think one of the things that’s happened with the changes at the CFTC and a lot of the emphasis on some of the new regulations is that the people that are in the physical commodity business like us are probably in the best position to take advantage of some of the future opportunities, whereas in the past. I think a lot of times the emphasis had been on the financial side of the business.
John Alley - Decade Capital: So you think this round could come together a lot faster than the initial deal did?
Mark Snell: We do and there’s lot of other reasons for that too. Some of the contractual arrangements we had from our prior partners or prior management team were bought out. So it makes the transaction a lot more easy for us.
Operator: Your final question comes from Annie Tsao - AllianceBernstein.
Annie Tsao - AllianceBernstein: Can you update us on follow-up the question on CFTC? What’s the latest and are we expecting anything coming out soon?
Don Felsinger: Are you talking about the regulations coming out?
Annie Tsao - AllianceBernstein: Yes.
Don Felsinger: I mean, Mark has been following these, but I would say that the focus so far has been to put some controls around speculative trading and that’s not the business we’re in and we don’t expect to see any major impacts on what we do with our customer and our physical business, but Mark, any insights.
Mark Snell: Well, I’ll just say this I think what we’ve seen proposed to date and there are several different proposals and we’re moving towards some resolution on this, I think there will be some limits on the amount of speculative holdings a particular company can have. We think that those limits, as they’re currently being discussed look workable, so that we can still adequately serve our clients and at the same time effectively hedge our exposures that we have in the marketplace, that’s what’s most important to us. The other thing is that I think that there will be some relief for some of the primary physical requirements in the business, i.e., from producers, generators and that those types for them not to have to do all of their transactions on a regulated exchange, where there’s margining requirements and that it will allow people like us, like we have been doing in the past, so we’ve been doing this for a number of years, is to take different forms of collateral to be able to support our customers’ hedging activities. I don’t think there’s any intention among the government to restrict a producer or a generator or a local utility from hedging their position. However, some of these rule changes could have been very, very detrimental to some of those and I think those voices have been heard loud and clear and I think the movement these days is that for these types of physically oriented transactions, it will be pretty much business as usual for us. There may be higher capital requirements and there maybe some limit restrictions on open positions, but we think all of that’s pretty workable for a physical business like ours.
Annie Tsao - AllianceBernstein: Do we expect something by the end of the year in terms of...?
Mark Snell: I think healthcare is going to take the predominance of the activity between now and the end of the year. I don’t know when this will really actually come in for a vote. I doubt that it will get voted out this year but I don’t know.
Don Felsinger: If there are no more questions, I want to thank you all for taking time out of your schedule to join us today. We’re very pleased with the quarter and where we are year-to-date. I think it speaks well for the business model we have and the strength of our portfolio of businesses. Have a great day.
Operator: This does conclude today’s Sempra Energy third quarter 2009 earnings results conference call. Thank you for joining us and have a wonderful day.